Operator: Ladies and gentlemen, hello, and welcome to the Borr Drilling Limited Q2 2022 Results Presentation. My name is Maxine, and I'll be coordinating the call today. [Operator Instructions] I will now hand you over to your host, Patrick Schorn, CEO, to begin. Patrick, please go ahead when you're ready. 
Patrick Arnold Schorn: Good day, and thank you for participating in the Borr Drilling Second Quarter 2022 Earnings Call. I'm Patrick Schorn, and I'm talking to you from London. And with me on the call today is Magnus Vaaler, our CFO. 
 Next slide. First, covering the necessary. I would like to remind all participants that some of the statements will be forward-looking. These matters involve risks and uncertainties that could cause actual results to differ materially from those projected in these statements. I therefore refer you to our latest public filings.
 Next slide. I'm very pleased how the market has developed over the quarter. We have seen increased interest in our assets. Day rates are increasing to levels of $130,000 to $150,000 per day and utilization for the modern rigs is exceeding 92%. In addition, the discussion with customers has shifted from only a commercial discussion on day rates towards one where the ability to deliver a rig on time has become the priority, which has allowed us to win tenders at the high end of the day rate range. 
 For the quarter, revenue has increased by 28% to $105 million and adjusted EBITDA has increased by 73% to $37 million. For the startup of various operations, we have used additional cash approximately $16 million out of the $20 million reduction in the cash balance is due to just that. When it comes to the fleet, we have currently 20 rigs contracted with several tender opportunities underway for each of the 3 remaining delivered rigs in the operational fleet. When it comes to the rigs under construction, we have announced that 3 of these will be sold as part of our refinance and the remaining 2 will be delivered by 2025.
 Magnus will now step you through the details of Q1. 
Magnus Vaaler: Thanks, Patrick. Q2 2022 revenue came in at $105.3 million, an increase of $23.3 million or 28% compared to Q1 2022. This was split in $87.7 million in dayrate revenues for our rigs on regular contracts and $17.6 million in related party revenue, which is payable to earnings for a very good quarter of high economic utilization in our Mexico joint ventures. The number of rigs trading in the quarter went from between 13 and 15 in Q1 to 17% at the end of the second quarter. 
 Rig operating and maintenance expenses for Q2 was $65.5 million. The increase from previous quarter is mainly due to more rigs on contracts during the quarter and $3.6 million increase in amortization of deferred mobilization and contract preparation costs. Impairment loss for Q2 2022 was $124.4 million. This is a result of the company entering into an LOI during the quarter to sell 3 newbuild rigs at Keppel Shipyard in connection with our refinancing. The impairment is due to advanced payments and capitalized interest that was recorded for the rigs. 
 Total financial expenses were $36.9 million in the quarter, which is an increase of $1.6 million from Q1 2022. The overall increase is primarily a result of an increase in interest expenses, offset by interest income earned on the funding provided to our JVs. Net loss for the quarter was $165.3 million, which is an increase of $114 million from Q1 2022. Excluding the impairment for the quarter, net loss decreased by $10.4 million. Adjusted EBITDA for the quarter was $37 million, an increase of $15.6 million or 73% from Q1 2022, evidencing the compounding impact of improving day rates and incremental activity. 
 Our free cash position at the end of Q2 was $29.7 million and our restricted cash $8.1 million. Total cash and restricted cash decreased by $20.5 million in the quarter and is primarily a result of cash used in operations of $8.5 million, which includes interest payments of $15 million, cash used on jack-up additions, such as reactivations of $15.9 million and cash proceeds from the Q2 2022 sales under our ATM program of $3.6 million. Total cash receipts from Mexico in the quarter was $13.7 million versus $7.3 million in the previous quarter. 
 Moving to the next slide. We are pleased to announce that we are continuing to progress on the refinancing with our secured creditors where agreements in principle has been reached to extend the debt maturing in 2023 to 2025. This includes the current bank facility, we have contemplated refinancing with 2 new facilities provided by the current lenders and secured by the same rates providing security today. For the Heidrun facility, we have an agreement to extend the loans to January 2025 in return for some down payments in 2022, down to a loan balance of approximately $152 million and regular quarterly debt amortization starting in 2023.
 For the PPL loans, we have an agreement to extend to May 2025, with peak interest continuing to March 2023, and thereafter the regular interest payments. The extension also includes debt repayments and amortization starting in 2023, together with a repayment plan for the capitalized interest. In addition, we have also undertaken to sell one of the financed rigs by November 2022. For Keppel, we have entered into an LOI to sell 3 new build for a total consideration of $320 million, which will relieve the company of capital commitments. The company has to pay an additional $32.6 million above the sale price to Keppel, which consists of remaining delivery installments, not covered by the sale price and previously accrued costs for delaying delivery dates of the rigs. The existing capital loan facilities remains with maturities in 2025 and 2026 as before. 
 And finally, the 2 remaining newbuilds on order has been postponed to 2025. These rigs have financing attached of $130 million per rig, which will mature in 2029. The $350 million convertible bond is expected to be refinanced ahead of its maturity in May 2023 through a combination of cash from operations, or asset sales and refinancing or equity. We have already received an indicative term sheet proposal for a new $250 million convertible bond. Principal agreements have been reached with all the creditors and final agreements are still subject to creditors' Board approvals and binding documentation, and there is a potential for final terms to be different. Full details of the refinancing is disclosed in the Q2 2022 earnings report published by the company August 9, 2022. Then I hand it back to Patrick. 
Patrick Arnold Schorn: Thank you, Magnus. As can be seen from the graph, there have been significant dayrate increases in the past when utilization was approaching the 95%. This is very similar to the situation that we are currently in after the large tenders in the Middle East. As a result, day rates are increasing meaningfully as evidenced by our recent awards and extensions in Africa and Asia with recent fixtures being over $130,000 per day. We are confident that the current commodities price levels in combination with the structurally undersupplied oil and gas market is the right foundation for a long-term and strong bull market for the modern jack-up rigs. 
 Next slide. Utilization of the modern jack-up fleet, this is the rigs build after 2000, has now surpassed 92%, representing an increase of 10 percentage points year-to-date, and we expect this to soon reach 95% as certain ongoing tenders are being awarded. With the tight availability of marketed rigs, a limited number of new build left at shipyards and opportunities to deploy additional rigs presenting themselves on a weekly basis, we reiterate our belief that demand for modern jack-ups is expected to outstrip supply in the coming quarters.
 Next slide. The Middle East is expected to be the main source of oil production growth. With the demand in the Middle East and also China, we are already approaching full utilization of the fleet. There will be demand in the rest of the world, especially considering the increased focus on energy security. In total, these regions are currently having a rig count of about 100 below the recent peak. Given the strength in the market, several of these customers will likely have to wait before getting access to drilling equipment. Magnus will now show you the details for the Borr Drilling rig fleet. 
Magnus Vaaler: Thanks, Patrick. Since the first quarter 2022 report, the company secured new contract extensions, LOA, LOIs, for its active rigs, the Thor, Idun, Mist, Iden and Prospector 5. This maintains the company's contracted or committed fleet at 20 units, which is represented by 4 in West Africa, 1 in North Sea, 3 in the Middle East, 6 in Southeast Asia and 6 in Mexico. Year-to-date, the company has been awarded 14 new contracts, extensions, exercise options, LOAs and LOIs, representing 5,600 days or 15.4 years and $650.2 million of potential backlog, excluding options. 
 During the same period, our operating rigs have consumed approximately 8.8 years of backlog, which translates to a backlog replenishment ratio in 2022 at a multiple of 1.75. These calculations include contracts through our drilling JVs on 100% basis in addition to any mobilization compensation in the contracts. 
 Moving to the next slide. One of the most valuable aspects of Borr Drilling is the ability to start generating large amounts of cash once we get all our rigs working. This slide is an updated version of what we had in our previous presentations too, and shows the high cash generation potential of the company at various day rate levels. The recent increase in day rates for our rigs provide a significant cash flow potential for the company that we aim to return to our shareholders in the future. The company has recently secured contracts with day rates of about $130,000 per day, which is far above our anticipated cash flow breakeven levels of approximately $95,000 per day. 
 If our entire fleet had average day rate of $131,000 per day, we have potential annual EBITDA generation above $600 million for 24 rigs. Applying our assumption for debt service and CapEx levels in 2024, pretax cash flow to equity is shown illustratively at around $300 million. Looking at historical day rate levels. For instance, the average day rates between 2006 and 2014 of $175,000 per day, we see illustrative EBITDA of close to $1 billion and pretax free cash flow to equity above $650 million. 
 Moving to the next slide. This is also an illustrative slide, but to put things in perspective. With current enterprise value, Borr Drilling is implicitly priced at $114 million per rig. This is a significant discount to newbuild prices and similar to recent asset transactions we have seen in the market. In an undersupplied market, one would expect values to move in the direction of newbuild parity. And this table shows you the potential scenarios based on various market values for our share price. On the right-hand side, we are showing illustrative EV over EBITDA ratios given different day rate assumptions. Based on current contract rates achieved of around $131,000 per day, the EV/EBITDA multiple of the company will be 4.4%. Based on the average rate seen in the cycle, that multiple drops to 2.8x and even further to 1.8x at peak dayrate seen in the previous slide. With that, I'll move back to Patrick. 
Patrick Arnold Schorn: Thank you, Magnus. So in conclusion, the multiyear underinvestment in the oil and gas industry means that production increases as are required today to meet the demand for oil and gas are very drilling intensive. The largest resource holders worldwide have started to increasingly develop the shallow water fields, which results in a high demand for premium assets. In return, pushing utilization to levels where day rates are expanding rapidly. Without further additions to the rig fleet, mainly because there are only a few new builds left at the yard and no new orders being placed, it's unlikely that the tightness in the market will soon disappear, which is the basis for our view that we are in a multiyear up cycle. 
 Based on the market outlook for our available rigs, already contracted revenue and operating costs, we anticipate generating $290 million to $330 million, adjusted EBITDA in 2023 with an early estimate to double this number again in 2024. This would put us firmly in a position to consider cash distribution to shareholders at that time. With this, we trust we have given you a clear view of our expectations for the remainder of 2022 and beyond. And I hope you share our enthusiasm when it comes to the upside potential. Ladies and gentlemen, thank you very much. 
Magnus Vaaler: We are pleased to announce that we are continuing to progress on the refinancing with our secured creditors where agreements in principle has been reached to extend the debt maturing in 2023 to 2025. This includes the current bank facility, we have contemplated refinancing with 2 new facilities provided by the current lenders and secured by the same rates providing security today. For the Heidrun facility, we have an agreement to extend the loans to January 2025 in return for some down payments in 2022, down to a loan balance of approximately $152 million and regular quarterly debt amortization starting in 2023.
 For the PPL loans, we have an agreement to extend to May 2025, with peak interest continuing to March 2023, and thereafter the regular interest payments. The extension also includes debt repayments and amortization starting in 2023, together with a repayment plan for the capitalized interest. In addition, we have also undertaken to sell one of the financed rigs by November 2022. For Keppel, we have entered into an LOI to sell 3 new build for a total consideration of $320 million, which will relieve the company of capital commitments. The company has to pay an additional $32.6 million above the sale price to Keppel, which consists of remaining delivery installments, not covered by the sale price and previously accrued costs for delaying delivery dates of the rigs. The existing capital loan facilities remains with maturities in 2025 and 2026 as before. 
 And finally, the 2 remaining newbuilds on order has been postponed to 2025. These rigs have financing attached of $130 million per rig, which will mature in 2029. The $350 million convertible bond is expected to be refinanced ahead of its maturity in May 2023 through a combination of cash from operations, or asset sales and refinancing or equity. We have already received an indicative term sheet proposal for a new $250 million convertible bond. Principal agreements have been reached with all the creditors and final agreements are still subject to creditors' Board approvals and binding documentation, and there is a potential for final terms to be different. Full details of the refinancing is disclosed in the Q2 2022 earnings report published by the company August 9, 2022. 
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines.